Operator: Good morning. And welcome to PowerFleet’s Fourth Quarter and Full Year 2022 Conference Call. Joining us for today’s presentation is the company’s CEO, Steve Towe; and CFO, David Wilson. Following their remarks, we will open the call for questions. Before we begin the call, I would like to provide PowerFleet’s Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet’s future financial performance. All statements other than present and historical facts, which include any statements regarding the company’s plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company’s expectations regarding opportunities for growth, demand for the company’s product offerings and other industry trends are considered forward-looking statements. Such statements include, but are not limited to, the company’s financial expectations for 2023 and beyond. All such forward-looking statements imply the presence of risks and uncertainties and contingencies, many of which are beyond the company’s control. The company’s actual results, performance or achievements may differ materially from those projected or assumed in any forward-looking statements. Factors that could cause actual results to differ materially could include, amongst other SEC filings, overall economic and business conditions, demand for the company’s products and services, competitive factors, emergence of new technologies and the company’s cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the Investor Relations section of the company’s website at www.powerfleet.com. Now I would like to turn the call over to PowerFleet’s CEO, Mr. Steve Towe. Sir, please proceed.
Steve Towe: Good morning and thank you for joining us today. It’s a pleasure to be speaking with you once again. It’s been a rigorous and exciting first year since I joined the company. I’m incredibly proud of the progress the team has made on the journey of transforming PowerFleet towards our mid- to long-term goal of being recognized as a world-class, high growth and profitable SaaS solutions provider. The Board and I are highly encouraged by the progress we’ve made to-date, executing our strategy to turn around the business in the first two years of my tenure CEO. We’re ahead of schedule and executing well on the mission. As a reminder, my initial priorities were as follows. First, we needed to make dramatic improvements to the caliber and experience of the leadership team in order to become a true IoT SaaS company. Second, we needed to develop a unified SaaS platform strategy that delivers great value for clients to improve our margins and expand the total available market for our solutions. Third, we need to show evidence that we could drive sales execution and topline traction in high-value markets and vertical segments. As we move towards the next phases of our transformation plan, we’ve been focusing heavily on expense containment and rationalizing certain geographies and product lines that we believe are incapable of driving sufficient rates of return and cash flow. In turn, we’ve been creating strategies for redeploying cost savings to accelerate our product and sales plans in the highest ROI business areas. We’ve accomplished a tremendous amount over the last year through roofers and rapid execution, powered by hiring a super talented executive team with deep experience working with high growth SaaS companies, including adding David Wilson, our CFO, who you’ll hear from shortly. Our profitable growth strategy that we call PowerFleet Reimagined and which was first introduced at our inaugural Investor Day last June has been very well received by employees, customers, partners and investors alike. From a technology perspective, in November, we launched PowerFleet Unity, a new game-changing fleet intelligence platform that unites people, assets and data together to transform the way its customers do business. Unity will be the cornerstone of our future shareholder value creation and is ahead of schedule and gaining traction with new customers, highlighted by our recent announcements with Kearney and FEMSA. Even with the dramatic business transformation efforts and fundamental operational business change in 2022, we were still able to drive topline growth, improved gross profit and enhance profitability, an ambitious objective I articulated to all of you at the beginning of 2022. Our encouraging financial results, we’re also achieving in the face of ongoing macroeconomic pressures and significant supply chain headwinds. David will discuss our Q4 and 2022 results in detail, but at a high level in 2022, we delivered 7% topline revenue growth, 8% growth in high margin services revenue and grew our subscriber base by 8% to 664,000. From a profitability perspective, we improved gross profit by $4 million, reduced loss from operations from Q4 2021 to Q4 2022 by 65% and grew adjusted EBITDA 19% in 2022. We faced significant FX headwinds in 2022, but on a constant currency basis, our annual total revenue growth was 10%, with services revenue growing 11% for the full year. One of the key thesis questions was, could we improve our growth in the U.S. market in the year 2023. We proved our thesis by delivering total annual revenue growth in the region of 12% and a service revenue growth of 13%. A key driver of our success was our U.S. Industrial business segment, which grew 33% in the second half of 2022 versus the corresponding period in 2021. We’re also excited by the performance of our Mexico business unit, which achieved 34% growth year-over-year in total and 33% in services revenue. Perhaps our progress is most telling and best measured when we compared our financial results for the second half of 2022. For the second half of 2022 versus the first half of 2022, high margin services revenues increased 5% to $40.3 million. On a constant currency basis, the sequential increase was 8% or an impressive 16% on an annualized basis. Overall, gross margins expanded from 45% to 50% with our gross profit increasing by $3 million or 10%. Additionally, the success from our products and reengineering initiatives expanded our product gross margins from 20% to 29% in the second half of the year. From a profitability standpoint, we realized a 54% or $2.9 million improvement in loss from operations, as well as a $2 million or 76% improvement in adjusted EBITDA. Compared to the same period last year, we increased gross profit by $4 million or 13%, improved our operating losses by $3.5 million or 59%, as well as saw a $2.7 million or 132% improvement in adjusted EBITDA. During the fourth quarter, we saw double-digit growth in our key regions, including a 20% increase in the U.S. Industrial segment and a 37% increase in revenue in Mexico, driven by both Unity sales and initial sales of our Industrial Solutions in the region. The overall topline results in Q4 reflect the decisive actions we took to deemphasize underperforming product lines and territories, and terminate unprofitable contracts, measures I alluded to in our Q3 call. To put this into context, unrecognized revenue related to the termination of unprofitable contracts and the de-emphasis of lower margin products was approximately $2.5 million in the quarter. Nevertheless, our tight cash management produced the highest cash collections quarter in the company’s history. While we’re encouraged by our operational and financial progress, especially in the second half of 2022, there is still much more work for us to do to achieve the level of performance we believe is possible for our company. Although the speed of cleanup has exceeded our internal expectations, the operating state of the business when I assumed the CEO position was far more challenged than expected and there are still crucial areas that need to be improved. Along that line, earlier this quarter, the leadership team enacted on a focused plan to optimize further our business. When completed, the plan will reduce our OpEx by an additional $3 million annually, which we expect to drive bottom line improvement. This is in addition to the $5 million we took out of the business in 2022, some of which allowed us to pivot and grow our software sales and development teams. Before I discuss our 2023 initiatives and our business outlook, I’m going to invite David to walk through our financial performance for Q4 and 2022 in more detail. David?
David Wilson: Thanks, Steve, and I’m pleased to connect with many of you for the first time on this call. This week marks my second month with PowerFleet and my time on Board has reaffirmed two key reasons I chose to join the team. Firstly, there’s a rich set of complementary assets of PowerFleet that have a massive amount of latent value. Secondly, the team that Steve has put in place are aggressive change agents who have the drive and experience required to realize PowerFleet’s full potential. The third key reason I joined PowerFleet is patent recognition. Prior to joining PowerFleet, I was the CFO of ACS, a regional telco, which was an amalgamation of acquired companies that had a newly installed management team taps returning the business around and creating a huge amount of value for stakeholders. While the road at ACS was more rocky and smooth in the early quarters, during my tenure, we outperformed the sector by 16 times, turning ACS from a valuation laggard to a valuation leader. I look forward to playing my part in achieving similar success with PowerFleet. Now on to our fourth quarter results for the year ended December 31, 2022. Total revenue was $33.1 million, compared to $34.4 million in Q4 2021. As Steve noted earlier, the step down in revenue was by design, with increasingly sharp focus on the quality versus the quantity of revenue. In the quarter, we sidestepped approximately $2.5 million in available sales in non-core underperforming product lines and territories. Venturing the business around high margin SaaS revenue is a central tenet of PowerFleet Reimagined, with the fourth quarter mix of service revenue increasing to 60% or $20 million in 2022 from 56% or $19.1 million in 2021. Product revenue, where the quarter’s sales were focused on deals with a high attachment of SaaS service revenue was $13.1 million versus $15.3 million in Q4 last year. Gross profit was $16.4 million, compared to $15.4 million. Importantly, gross margin expanded by 5% to 49% of total revenue, up from 45% last year. Fourth quarter service gross profit was $12.8 million, with margins of 64% of total service revenue in line with expectations. This compared to $12.4 million or 65% of service revenue in Q4 last year. Product gross profit was $3.6 million, compared to $3.1 million in the same year ago period. While deal discipline was a primary driver of quarterly product gross margins expanding to 28% of product revenue, up from 20% last year, 2022 performance was adversely impacted by $600,000 or 5% gross margin for inventory and warranty reserve adjustments and out-of-period charges. Looking at expenses, OpEx was $17.6 million, compared to $18.9 million in the same year ago period. 2022 operating expenses benefited from foreign exchange translation gains of $1 million, which is a reverse to calculated adjusted EBITDA and $0.7 million in incremental stocks and audit professional fees, which flows through to adjusted EBITDA. In terms of profitability metrics, net loss attributable to common stockholders totaled $2.9 million or negative $0.08 per basic and diluted share. This compares to a net loss attributable to common stockholders of $7.9 million or a loss of $0.23 per basic and diluted share in Q4 last year. And finally, adjusted EBITDA, a non-GAAP metric in the fourth quarter of 2022 totaled $1.4 million, compared to an adjusted EBITDA of $1 million in the same year ago period. Our balance sheet remained strong in the quarter with $18 million of cash and cash equivalents. The company’s working capital position at quarter end was $35.5 million. Shifting gears to our financial results for the full year ended December 31, 2022. Total revenue was $135.2 million, an improvement compared to $126.2 million in 2021. High margin services revenue was $78.8 million, compared to $73.2 million in 2021. Product revenue, which drives future services revenue was $56.3 million, compared to $53 million in 2021. Gross profit was $64.2 million or 48% of revenue, compared to $60.2 million or 40% of revenue in 2021. Services gross profit was $50.5 million or 64% of total service revenue, compared to $46.6 million or 64% of total service revenue in 2021. Product gross profit was $13.7 million or 24% of total product revenue, compared to $13.5 million or 26% of product revenue in 2021. Operating expenses were $72 million, compared to $68.2 million in 2021, while net loss attributable to common stockholders totaled $11.9 million or negative $0.34 per basic and diluted share in 2022, which compares to a net loss tribute to common stockholders of $18.8 million or negative $0.52 per basic and diluted share in 2021. Adjusted EBITDA, a non-GAAP metric, totaled $7.3 million, compared to adjusted EBITDA of $6.2 million in 2021. That concludes my remarks. Steve?
Steve Towe: Thanks, David. One of my stated goals on joining the company has been to substantially increase the revenue share of our SaaS and recurring revenues, which has the benefits of increasing our visibility, margins and relative competitive advantage. We’ve built a great team at PowerFleet and the concentration of this talent around the best and highest quality revenue and profit opportunities as a result of a dynamic capital allocation strategy to yield the highest potential returns to our shareholders, employees and customers. In this spirit, we have decided to entertain strategic alternatives for our Argentina and Brazil and South Africa business units. As background, there have been third parties who have expressed interest in these business units and we’ve decided to evaluate these potential opportunities with these partners. In parallel to our organic growth strategy, we are continually evaluating balance sheet accretive M&A opportunities to enhance our capabilities and augment our ability to scale more rapidly. Along that line, this morning, we announced the acquisition of Movingdots, a German-based telematics provider, a fully-owned and operated subsidiary of Swiss Re. Since 2015, Movingdots has served a Swiss Re’s technology hub in the automotive and mobility space. For those not familiar with Swiss Re, they are one of the world’s leading providers of reinsurance and insurance. Movingdots spent the last decade designing and perfecting data science algorithms with insurers to provide risk-based drive style analytics for fleets and personal auto risk. Backed with actuarial insights, Movingdots enables data-driven insurance proposition for insurers, car manufacturers and mobility platform players worldwide. By focusing on customer safety and security needs and by providing transparent and comprehensive monitoring, Movingdots combined insurance analytics with AI and ML technology to drive an individual risk assessment. Movingdots has also developed leading-edge technologies for the sustainability and ESG reporting space. Swiss Re and Movingdots have been searching for the right strategic growth partner to deliver these precisely architected insurance solutions to the global market in a sustainable, profitable and scalable way. From a customer perspective, Movingdots bodes several Blue Chip insurers as customers and works with major automotive OEMs as partners and also serves more than 160 enterprises in the European market. Movingdots checks all the boxes of a highly complementary and synergistic acquisition. First, it accelerates PowerFleet entrants into Europe by providing a meaningful beachhead with major reference customers and a network of Tier 1 partners. Second, PowerFleet presents a significant opportunity to cross-sell Movingdots solutions into our base of customers and partners and vice versa. Third, the acquisition brings strong technically advanced data science IoT solutions for the insurance and sustainability markets, which present distinct competitive advantage and credibility in a highly strategic end market for PowerFleet. Fourthly, the acquisition enhances our Unity Platform with Movingdots focus on delivering innovative automotive and mobility safety solutions and ESG reporting that will enrich PowerFleet SaaS enterprise applications. Finally, Movingdots has built a hub of software and platform excellence in Germany and beyond. Movingdots employees will strengthen PowerFleet’s current tenured and talented team, all striving to deliver on the promise of people powered IoT. From a consideration perspective, we’ve agreed to acquire Movingdots for €1 and issued 800,000 warrants to Swiss Re that have an exercise price of $7 per PowerFleet common share. Swiss Re has agreed to fund €8 million in cash at close to ensure continuity of Movingdots telematics offering and a seamless transition for the company’s talented 50 employees, as well as its value customers and partners. Equally important to Swiss Re was a continued strategic commercial alliance with PowerFleet. Looking to the future, we anticipate generating sequential revenue growth in Q1 despite the expected revenue reduction as a result of our strategic rationalization efforts, driven by robust double-digit growth from our U.S. Industrial segment, a trend we expect to continue through 2023. In summary, we’re focused on realigning and restructuring our cost base to realize the potential of an increasingly robust and competitively differentiated high growth SaaS offering. Movingdots has an important role to play, enriching our Unity offering, while simultaneously providing a leading position in the strategic insurance vertical and enhancing balance sheet liquidity. That concludes our prepared remarks. Now I’ll turn back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Scott Searle with ROTH. Please proceed with your question. Scott, is your line on mute?
Scott Searle: Oh! My apologies. Hey. Good morning. Thanks for taking the questions. Steve a lot going on this morning, I wanted to quickly clarify a couple of things and then dive into Movingdots. But $2.5 million in sales in the quarter, fourth quarter were lost related to basically walking away or terminating bad contracts, I want to confirm that? And then the $3 million reduction in OpEx, I want to understand if that is going forward off of the fourth quarter levels? And then I had a bunch of follow-ups on Movingdots.
David Wilson: Yes. So in terms of the OpEx, I’ll start at that first one, it’s David Wilson. I know it’s got the first time you would have been on the call. That’s primarily a reduction in terms of go-forward spend. There was also some planned investments we’re going to do this year, which is a piece part of it, but the vast majority of it would be a reduction in terms of ongoing spend. And in terms of $2.5 million in contracts, Steve, again, I think predates me, but on the Q3 call, he was talking about just being a lot more disciplined in terms of the deals that we do. So there were some low margin business, which would require investment in inventory that we chose not to do. There’s also the roll-off of certain contracts we have, particularly, in EMEA, where we have chosen not to pursue that business, so that’s falling off as well. So it’s a combination of both hardware sales in addition to some reduction in terms of recurring services revenue.
Scott Searle: Great. And then on Movingdots, it sounds very exciting, but I want to make sure I’ve got a couple of the basic metrics understood. Your -- the purchase price is €1. You’ve got 800,000 warrants at $7. They’re going to give you $8 million in cash. But I’m not sure if I heard the employee number, correct. Was it 50 employees or was it 115 employees? What’s the revenue run rate that you got with Movingdots coming in? It sounds like you’re bringing a very powerful data science team that’s got some specific domain expertise in the insurance market, but how quickly do you start to monetize that, how quickly can you get that integrated into the Unity Platform?
Steve Towe: So great question, Scott. So, first of all, it’s 50 employees that we’re bringing in. And if you look at Movingdots, I mean, previously stated, we wanted to get a European beachhead. We want to take a leading position in safety and sustainability and insurance. We believe that is a key market driver. We wanted to bring in some great talent to drive and expedite Unity and our data science capabilities and we’ve done that in one false soup. So we feel very good about that. And obviously, that’s supported with an ongoing relationship with Swiss Re and then providing $8.5 million in cash towards the future growth together. We’ve taken some good time to look at the go-to-market approach. That will take some time to get revenues moving. They’ve spent an inordinate time almost a decade perfecting the solutions, which if you think about it for the insurance market to be robust stand by and ensure the risk profiles that are being put forward, it has to be bulletproof. So it’s an amazing product, it’s got modest revenues today and we look to expand in the future. We’ll give more details on the financials. We’re still under confidentiality through to close on any kind of more detail on the financials, but we’ll update that at our next call.
Scott Searle: Got you. But, Steve, the expected closing is in the current quarter. Is that correct or is this going to go into the second quarter?
Steve Towe: So 31st of March, 1st of April, I’m not sure which date yet, but very soon, three weeks to four weeks from there.
Scott Searle: Got you. And lastly, if I could, just looking at the core business today, the outlook as we go into the first half of 2023, what are you seeing? I think you -- I’m not sure if I heard some specific guidance as it relates to services, but I was wondering if you could just kind of talk to what the outlook looks like? What the pipeline. You’ve got a lot of engagement early on the Unity Platform. I’m wondering if you could talk a little bit about how that’s transitioning to more rich feature sets and higher ARPUs within the customer base? And maybe just a quick update in terms of supply chain headwinds, what you’re seeing there, if that’s causing any problems and push out of some revenues? Thanks.
Steve Towe: Yeah. Thanks, Scott. I’ll try and break those down. So, firstly, in terms of pipeline, we feel very good, very bullish about the future. We’ve invested a lot in new sales and marketing to drive that pipeline and I think we’re ahead of schedule in terms of getting some of the customers on to the Unity Platform. Unity is today feature-rich by combining all of our previous platforms together, the launch of the first new module. We’re very excited about safety and security, which is coming out at the end of this month. And obviously, from an ARPU perspective, the modularity of it allows us to drive significant increases over time. The first deals that we’ve got are probably, I would say, 20% higher in ARPU than our standard deals have been due to the kind of promise of Unity moving forward. So we feel very good about it, we feel very confident that we have a winning formula with the platform and we’re bullish about the future.
Scott Searle: Great. Thank you. I’ll get back in the queue.
Operator: Thank you. Our next question will come from Mike Walkley with Canaccord Genuity. Please proceed with your question.
Daniel Park: Hi, guys. Good morning. This is Daniel on for Mike. Thanks for taking my questions. So, I guess, first off, congrats on the solid Q4 results and recovering gross margins. I just wanted to double click on this, was this primarily driven by mix, maybe improving supply input costs or other factors such as passing on increased costs, obviously, we know the supply chain remains pretty challenging. But can you just discuss how you’re managing this and what it means for hardware gross margins over the next year?
Steve Towe: Sure. So an apology, Scott, I didn’t finish some of answering your question around the supply chain piece. So, I mean, supply chain remains challenging. We received price increases out of the blue from our partners that, obviously, we try and move as fast as we can to pass some of that onto our customer base where we can and where it’s appropriate, and there are still component challenges out there. I think we’ve done a superb job in the last 12 months of making sure that we can fulfill for our customers. We took a lot of headwinds in the first half, I think, over $4 million worth of one-off spending for high priced components. But we’ve really tried to reengineer and manage a lot of those components out, which is why we’re seeing the improvement. I think we’re doing better quality deals, I think we’re managing price and value a lot better as a company, and we expect that to continue. If you added in the FX wins that we had, in the second half and we’re probably a couple of 3 percentage points higher than reported today. So we look to maintain that. It is -- there is volatility out there, but we’re confident that we can drive it forward. But I would say, it’s just better sales execution, better management of our costs and better alignment in our organization.
Daniel Park: Great. And I guess in regards to the pace of the additional $2 million savings, is this both in gross margin and OpEx or just more in OpEx?
David Wilson: It’s both, but I would say, heavily weighted towards OpEx.
Steve Towe: I mean I think one thing that I talked about in January last year was we were going to execute ruthlessly the changes that we need to make. And I’m, again, very encouraged by the way that the team has taken on the challenges, really creating a very strong basis for success moving forward and tackling a lot of tough challenges in the business. I think if we look at the efficiency programs that we’ve run, the way that we’ve been able to rebrand this -- rebrand repurpose the company, bring in some super talented individuals and reduce costs at the same time, plus do an acquisition is testament to a team that is very focused on the opportunity ahead of us.
Daniel Park: Great. Thank you very much for additional color.
Operator: Thank you. Our next question comes from Gary Prestopino with Barrington. Please proceed with your question.
Gary Prestopino: Hey. Good morning, everyone. Several questions here and really a lot to get through in a short period of time from when you issued the press release, but first of all, on the $2.5 million of the business that you did not or you walked away from in Q4, how does that break down between products and services?
David Wilson: Yeah. I would say 95% of it is product. So the vast majority is product.
Gary Prestopino: Okay. So 95% is product. Okay. So now that business doesn’t include or does it include your value -- your evaluation that you’re going through with Argentina, Brazil and South Africa or was that included in that $2.5 million?
Steve Towe: No. That was some contracts in various territories around the world, some in Latin America, some in Europe, some in the U.S. So it was spread plus. We have a historic heritage business of course locator, which was hardware-only business. And that’s in the light of India, Colombia, Croatia and it’s just not high-quality business for us. So we walked away from a number of opportunities and running down contracts and inventory in that space. Our ambition…
Gary Prestopino: So…
Steve Towe: Sorry. Go ahead.
Gary Prestopino: No. No. Go ahead. I’m sorry, Steve. Go ahead.
Steve Towe: So our ambition, obviously, is to focus on high quality SaaS recurring revenue and that type of business just doesn’t really fit the mold of what we’re trying to achieve moving forward.
Gary Prestopino: Okay. So in 2023, as you finish this evaluation, I think, you said, you’ve got parties that may be willing to take over the business in these various regions. We would expect that there will be further adjustments to the sales in 2023 going forward as you move out of these countries. Is that correct?
David Wilson: Yeah. That’s correct. So for those regions in 2022 was about $13 million worth of revenue. So that is right.
Steve Towe: Yeah.
Gary Prestopino: Okay. All right. That’s good to hear and I guess that’s fairly low margin or problematic.
Steve Towe: I mean, these regions are quality businesses. The way the business was previously run was independent territories. So there’s a lot of complexity…
Gary Prestopino: Right.
Steve Towe: … and some differentiation in those local territories. And look, we’ve got phenomenal growth opportunities in some good core territories where we have great established customer bases and large momentum. If you look, as we said, in terms of U.S., one of the big questions was, could we really drive the U.S.? I think in a year of transformation, we’ve proven that out. If we look at our Mexican business unit growing at 30%-odd a year, that is very strong. We’re now going to have a good, strong European business alongside it. So we just want to not spread ourselves too thin. We have dilution in our activities and distraction by some of these smaller territories that we believe may be better served in different organizations or smaller organizations. So we -- it’s a very focused strategy on high quality growth and we think it’s smart and true and sensible to do what we’re doing there.
Gary Prestopino: No. That’s fine. So, look, then just looking at the quarter a little bit here and I realize these are my numbers, but it looked like you had been on a run rate of close to high $2s million, $2.8 million, $2.9 million or 2 point, I’m sorry, $2.8 million of adjusted EBITDA Q2, Q3. Step down of $1.4 million this quarter. Obviously, some of that is related to the business that you jettisoned. But I’m also looking at this and seeing the service revenue was only up about, I think, 5% year-over-year and after being up in the high single digits Q2, Q3. So what would explain that step down in the growth in service revenue, I mean, if you’ve got the subscribers there, how does that go down?
David Wilson: Yeah. So I can pick that one up. So there was $300,000 of FX impact between Q3 and Q4. So that was a step down. There was also, and I am sorry, I’m not answering your question directly, but in terms of nonrecurring revenue, it’s a small part of our business. It’s probably sort of sub 3% of our total services revenue, but that was actually down $150,000 sequentially. So that one-time revenue was just lower in Q4 than it was in Q3. So, again, that probably had some impact in terms of the jump-off point you’re expecting going into the quarter.
Steve Towe: And I’d just add some of those contracts that we decided with the customers to move on. We -- they’re moving off the platform. So there was an agreement there to terminate some service contracts as well.
Gary Prestopino: Okay. Okay. That’s good. So then in terms of this acquisition that you’ve made. First of all, is Movingdots is Swiss Re the sole account right now of this Movingdots or are they out selling it to other insurance companies or fleets or whatever? How does that work?
Steve Towe: Yeah. So, obviously, a percent -- a good percentage of their go-to-market business within Swiss Re. So they are one of the world’s largest reinsurers. So they have a number of products…
Gary Prestopino: Right. Correct.
Steve Towe: … and are selling it into their base as part of their proposition, but they also have some independent relationships with other insurers on a global basis, plus their previous heritage to insurance was kind of core fleet telematics, which they have some customers as well. So this is a business where the product and the capability of the team is fantastic. The rationale for the relationship is around now proving that out in the market and really going and maximizing the sales opportunity and that’s why it’s such a better together story. I think Swiss Re are very aware to go and sell this at scale through and deploy it through channels that PowerFleet can bring is going to be far more effective than where they have been and that’s why this makes this such a good synergistic acquisition.
Gary Prestopino: Well, that’s the question I wanted to pose to you. I mean I realize you still haven’t closed this, but obviously, Swiss Re trying to sell this to other insurance companies, that’s simply not going to work in a lot of cases because it’s insurance-to-insurance. But is the plan here to try and expand this product on the European Continent to other insurance companies, as well as any business that you’re doing in the legacy business of PowerFleet. I mean how do you see growing this, I guess?
Steve Towe: So, first of all, I think, it’s independently recognized and it’s been interesting over the last probably four months or five months with analysts, investors alike, people now really seeing the synergy between insurance, safety, risk and telematics. So that…
Gary Prestopino: Right.
Steve Towe: …that vertical is growing and we want to be the market leader in that. And even if you include things like the move to electric vehicles, then the insurance risk premiums again changed as part of that. We have great technology around electric vehicles. If you look at our industrial space and safety and risk in the warehouse, and you can see from the stellar growth we’re getting around pedestrian safety, there’s a synergy there between insurance risk and saving lives in warehouses. So for us, it’s right at the heartbeat of where we want to play and where we want to put the organization. From a B2B perspective and B2B2C perspective, we have great channels available already. We have relationships with the likes of AXA, Swiss Movingdots both smartphone and as a sensor plus hardwired telematics. So we think this is not only good for Europe, but for a lot of our other territories and channels that we have open today. And if -- when we actually kind of put this into Unity, we’re leading with safety and security. So this will bring -- this will expedite our capabilities and will give us real competitive advantage. And where it’s going to be super strong in terms of credibility is, this has been proven out by an insurer. So for the risk -- for the take-up of insurance companies selling this into their bases, we believe there’s a very open door for us to now go and take advantage commercially.
Gary Prestopino: Okay. That all sounds good. And then what’s the revenue model here, Steve?
Steve Towe: In terms of subscription versus hardware and service, you mean?
Gary Prestopino: Yeah. I mean is it basically a sales SaaS subscription-based revenue model?
Steve Towe: Yes. Yes. It is.
Gary Prestopino: Okay. All right. Thank you.
Operator: Thank you. Our next question is from Max Michaelis with Lake Street Capital Markets. Please proceed with your question.
Max Michaelis: Hey, guys. Nice quarter. Just want to touch on the Q1 guide. I know you guys noted in your press release that double-digit growth from U.S. Industrial Solutions. I was wondering if you could lay out some other strengths you’re seeing and then maybe potential weaknesses going into Q1?
David Wilson: Yeah. So I’ll pick that one up, Max. So, obviously, U.S. Industrial increase as we look at that set of assets that we have, the differentiation that we have and also that ability to really sell it outside the U.S. where that revenue is coming concentrated today. Obviously, we feel really good about that as being a good source of future growth and a key sort of growth engine for us. We, obviously, when Steve said in the pared remarks, Mexico continues to perform incredibly well, so good movement there. So, there would be a couple of the sort of the main areas in terms of continued sort of high-digit growth. In terms of some of the headwinds, we’re definitely going to see some FX impact in Q1. So obviously, there’s the political toy mall happening in Israel today. We obviously have a significant portion of our business there. So there’ll be some FX headwinds there. There’s also been a sort of a stretching out of decisions there as well, just given some of the uncertainties. So in terms of things that will be less rosy we would wish, I would say, there would be that -- would be the key comment there.
Max Michaelis: Okay. Thanks. And then just final one for me. I know you guys didn’t guide or give an outlook on the full year, but just given your expectations from U.S. Industrial that grew double digits throughout 2023. Could -- would it be safe to say you guys expect sequential growth throughout the year?
David Wilson: Yeah. We expect to grow year-over-year. Obviously, putting aside and setting aside all the comments we said earlier in terms of some of our non-core territories. So you need to put that to one side.
Max Michaelis: Okay. That’s it for me guys. Thanks.
Operator: Thank you. Our next question is from Scott Searle with ROTH. Please proceed with your question.
Scott Searle: Hey. Thanks for taking my follow-up. I apologize I’ve been having some phone issues. But I just wanted to clarify, did you quantify the Brazil and South African operations just in terms of size and then I have a couple of other follow-ups.
Steve Towe: Yeah. It’s about $13 million of revenue in 2022.
Scott Searle: 13?
Steve Towe: 13, yes.
Scott Searle: 13. Perfect. And going back to Movingdots, I’m wondering if you could provide a little bit more color in terms of the number of data scientists that you get. And looking at your past presentations, when you talk about the Unity Platform, it’s basically an evolution to analytics and AI, right? And so this really seems to accelerate the platform and investment on that front by multiple years. So I’m wondering if you could translate that into maybe revenue expectations if we start to look out two years of the total TAM now that it starts to creep into in terms of what you can address now with Movingdots incorporate into a Unity type platform.
Steve Towe: Yeah. I think that’s a tough question to ask until we get the other side of closing the deal. But what I would say, in terms of data science, there’s a high level of capability. If you look at the insurance space, it’s that AI very, very complex algorithms that are built in order to build risk and insurance propositions that is incorporating technology. That has advanced us dramatically versus what we’re able to provide. And as I said, this is no exaggeration, these guys have spent almost a decade putting this together. So the speed to market, the ability for us to drive further growth and credibility in that space, I think, there’s a tenfold increase in where we were without doing this acquisition. So I think over the next two years, we look to very much dominate the space. We feel that both from a talent perspective, credibility with insurance market perspective, the channels that we have available to us and the strength that Unity has today and is going to bring leads us to a place where we feel very confident about the opportunity in front of us.
Scott Searle: Great. And lastly, if I could, just to bring the OpEx into perspective, right? You’ve taken $5 million out in terms of annualized costs. You’re talking about another $3 million coming out, so $8 million in total. Basically bringing in this team kind of gets you back to where you were before, but basically, what you’ve been able to do is really jump start your data science capabilities without really changing your cost structure if I look back to the middle of 2022. Is that the right way to be, I guess, quantifying that impact?
Steve Towe: Yeah. Yeah. I think as well, we’ve increased marketing spend dramatically, because from a brand perspective, we’ve rebranded the company. We’re trying to grow pipeline through our lead generation activities. We’ve brought in a new enterprise sales team in the U.S. to drive the fleet market. And all of that has been done within that cost envelope. And as you said, dramatically increased not only data science, but our overall software and architecture teams, which is why Unity became real very quickly. We’ve got paying customers who are referenced on the platform and we’ve got a super strong development roadmap that’s going to be released -- the features are going to get released throughout this year, that by the end of 2023, we’ll have a very feature-rich leading-edge set of solutions on the Unity Platform. So again, we feel humbly proud in terms of the way that we’ve been able to re-architect the business within the cost envelope that we have. We’ve driven performance through the year. If I look at my scorecard, then most, if not all of the metrics have moved forward, plus, I think, we’ve been trued enough to find a very, very complementary game changing acquisition for us, but as I said, also brings some liquidity to the balance sheet.
Scott Searle: Great. Perfect. Hey. Nice job in a difficult environment and very exciting on the Movingdots front. Thanks, guys.
Operator: Thank you. There are no further questions at this time. I would like to hand the floor back over to Steve Towe for any closing comments.
Steve Towe: Thank you, Operator. So thank you all for the insightful questions and thanks again to everyone for joining us this morning. I look forward to again -- speaking to you again very soon. Take care. Have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.